Operator: Good day, ladies and gentlemen, and welcome to the CF Industries Third Quarter 2010 Results Conference Call. My name is Regina, and I will be your operator for today. [Operator Instructions] I would now like to turn the conference over to your host for today, Mr. Terry Huch, Senior Director of Investor Relations. Mr. Huch, you may begin.
Terrell Huch: Thanks, Regina. Good morning, everyone, and thanks for joining us in this conference call for CF Industries Holdings, Inc. I'm Terry Huch, Senior Director of Investor Relations and Corporate Communications. And with me are Steve Wilson, our Chairman and Chief Executive Officer; Rich Hoker, our Vice President and Corporate Controller; and Bert Frost, our Vice President of Sales and Marketing. CF Industries Holdings, Inc. reported its third quarter 2010 results yesterday afternoon, as did Terra Nitrogen Company LP. On this call, we'll review the CF Industries results in detail and discuss our outlook for industry and company performance in 2010. At the end of the call, we'll host a question-and-answer session. As you review the news releases posted on the Investor Relations section of our website at cfindustries.com and as you listen to this conference call, please recognize that they contain forward-looking statements as defined by Federal Securities laws. All statements in the release and on this call other than those relating to historical information or current conditions are considered forward-looking statements. These forward-looking statements are subject to a number of risks and uncertainties, many of which are beyond our control and which could cause actual results to differ materially from such statements. These risks and uncertainties include those spelled out in the Safe Harbor statement included in yesterday's news release. Consider all forward-looking statements in light of those and other risks and uncertainties, and do not place undue reliance on any forward-looking statements. Now let me introduce Steve Wilson, our Chairman and CEO.
Stephen Wilson: Thanks, Terry, and thank you, all, for joining us this morning. For the third quarter of 2010, CF Industries reported net income of $48 million or $0.67 per diluted share, compared to earnings of about $39 million or $0.78 per share in the same period last year. Our results benefited from our very timely acquisition of Terra Industries. And certainly, we're looking forward to showing how the integrated company can perform when we have the full benefits of the increases in product prices that unfolded throughout the third quarter and have continued into the fourth quarter, as well as the reductions we've seen in natural gas costs. Our operating earnings were up 52% year-over-year to $137 million. Operating-related cash flow was almost $600 million, which allowed us to repay $350 million of debt during the third quarter and still exit September with $650 million of cash on the balance sheet. We're in a great period for fertilizer manufacturers, especially for those located in North America. Industry conditions improved dramatically during the third quarter, driven by the interplay between significantly higher agricultural commodity prices and constrained availability of fertilizer. Higher crop prices were prompted first by an intense drought in the former Soviet Union, which led to Russian grain export controls and tightened world grain trade, especially for wheat. This was followed by significantly lower yield prospects for this year's U.S. corn crop, which pushed domestic crop prices to two-year highs. The dramatically higher crop prices, coupled with low fertilizer inventories worldwide, stimulated fertilizer product purchasing, which tightened fertilizer balances. At the same time, world production was limited by higher-than-expected plant outages. All of these factors combined to drive fertilizer prices higher during the quarter. Domestic urea prices followed global markets upward. In the Midwest, ammonia market factors specific to North America added upward pressure on pricing, including limited supply availability after the exceptional spring application season, strong demand for fall application and pipeline maintenance affecting the Western Corn Belt. The UAN market also tightened as nitrates were on high demand in Europe, reducing UAN production and available export supplies from the Black Sea region. U.S. Gulf UAN prices yielded lower net backs to European producers that were available to them in other markets, resulting in low U.S. imports and extremely low U.S. inventories. Phosphate markets also strengthened considerably due to surging international demand. Higher crop prices stimulated purchasing to restock and to meet higher projected farm demand. Export commitments to India continued to underpin the market, and spot purchasing remained strong through the summer. U.S. demand was particularly strong, which drove NOLA barge prices above Tampa export prices. This set the tone for world market and even resulted in attracting some imports into the U.S. Additional market strength came from reports of delays of Saudi Arabia's modern project and challenges in raw material supply. With this market backdrop, we found eager customers for all the product we offered for sale. Of course, with the prices rising as much as they did throughout the quarter, we do wish we had more product available now than we do, but we're generally pleased with the way our book of business has evolved. Our third quarter prices were significantly lower than average spot prices published during the quarter. Significant differences are not unusual during periods of rapid price movements, whether that be up or down. In this case, there were a few noteworthy factors at work. We had export shipments of phosphate, urea and UAN that had been priced in the second quarter. Industrial sales represented about half of ammonia sales in the quarter, a seasonally slow quarter for Ag sales of ammonia. And at the beginning of the quarter, customers had very little purchase volume booked. When they realize how tight the market was becoming, they began making commitments, in effect, chasing pricing higher. So the full impact of higher prices won't be felt until the current quarter and beyond. Throughout the quarter, we have made excellent progress on our post-acquisition integration and related initiatives. We feel very good about where we are operationally. Our internal coordination within and across functional areas is becoming a strength and now will help us capitalize on more opportunities to optimize our production, transportation, distribution and sales. We continue to be on track to deliver more than $135 million in annual savings, the top end of our predicted synergy range with a run rate of about $100 million implemented by year end. A good example of our improved coordination is the alignment of product managers and sales with their counterparts in logistics. This enables us to take the day-to-day actions that optimize our business for each major product, such as maximizing the value of our ammonia production, transportation and distribution system. We also have shifted more of our business to deliver pricing rather than FOB plant. This provides better visibility to regional market conditions. Our primary interest in pursuing Terra was expanding our North American production of nitrogen fertilizer. With the integration of that business well in hand, we've been able to focus more attention on the other parts of Terra's portfolio, and familiarity is breeding enthusiasm. The GrowHow venture in the U.K. is performing well and is benefiting from extremely strong nitrate market. The Trinidad ammonia plant has become a great partner for our phosphate operations in Florida. And the Diesel Exhaust Fluid business is proceeding the way that the Terra environmental technologies team had planned. We recently completed a thorough study of the DEF market and our position in it. This review validated the approach that the legacy Terra team had taken to this great opportunity and answered our questions that were prerequisites for making further commitments of capital to DEF. Many of you are familiar with the UAN expansion at the Woodward facility, which will add 500,000 tons of annual UAN capacity this quarter. That project also includes modifications that will add 30 million gallons per year of DEF capacity. We expect to embark on projects at other facilities in the future. Our customers know they can count on us for reliable supply and for leadership in this growing market. To sum up the business conditions in the third quarter, I don't think any of us could have foreseen how the market would unfold when the quarter began. It seems like a distant memory now, but nitrogen prices were somewhat depressed at the end of June, particularly for UAN. Our results in the quarter only began to reflect the impact of very tight grain balances are having on fertilizer demand and prices and the impact of declining natural gas costs in North America. Now I'd like to ask Rich Hoker to provide more detail on our financial performance in the third quarter. Rich is our Corporate Controller and Principal Accounting Officer. He has played a key role in maintaining coordination and business discipline in the Terra integration process, a role that has taken on added importance as we conduct our internal and external CFO search. Rich?
Richard Hoker: Thanks, Steve, and good morning, everyone. As Steve indicated earlier, CF Industries reported net earnings of $48 million or $0.67 per diluted share, compared to earnings of about $39 million or $0.78 per share in the same period last year. Third quarter earnings included an unrealized mark-to-market loss on natural gas derivatives of $26 million pretax, $23 million of business combination and integration costs and Perú project development costs of less than $1 million. In the third quarter of 2010, net sales of $917 million included Nitrogen segment sales of $735 million and Phosphate segment sales of $182 million. Nitrogen volumes for the quarter were 3 million tons compared to 1.2 million tons in the year-ago quarter. Incidentally, on this call and in our filings, the word tons refer to short tons, unless otherwise noted. Nitrogen sales were 166% higher than in the third quarter of 2009 due to the acquisition of Terra, stronger demand and higher average prices. Our average price realization for ammonia was $394 per ton, which was about $40 higher than the average price last year. Ammonia sales volume was strong at 513,000 tons. Urea price realizations were about the same as the third quarter of 2009, but volume of 713,000 tons was much higher. UAN price realizations were 21% higher than the third quarter of 2009, with volume of 1.4 million tons. DAP and MAP average price realizations for the third quarter were 43% higher year-over-year and volume was 3% higher. Gross margin of $170 million was up 37% from the year-earlier quarter. Gross margin for the Nitrogen segment was up $39 million from the third quarter of 2009, due to much higher volumes from the inclusion of Terra's results and higher average pricing, offset partially by higher natural gas costs, including the impact of mark-to-market adjustments. Gross margin for DAP and MAP were up 34% year-over-year due to higher average prices. Steve indicated that our cash balance at the end of the quarter was about $650 million. We also held $122 million in auction rate securities, net debt, including the liability for customer advances, but excluding the auction rate securities was $1.9 billion. Customer advances grew by more than $300 million during the third quarter, as we resumed forward-selling activity. We paid back $350 million of our bank term loan in the third quarter, which resulted in accelerated amortization of previously incurred loans fees, similar to what we saw in the second quarter. Also, there are two new tables in the of our press release that show how this accelerated amortization impacted interest expense and DD&A. Approximately $650 million of the original $1.2 billion term loan was outstanding at September 30. We also mentioned in the press release that we're in a period of strong cash flow. We'll continue to use available cash flow to pay down our bank debt in the fourth quarter. Now let me turn it back to Steve.
Stephen Wilson: Thanks, Rich. I would like to discuss our outlook for the next couple of quarters. The fall fertilizer season is off to a great start. As anticipated, the early corn and soybean harvest is providing a long window for fall fieldwork, and farmers are taking advantage of it. The temperature drop we have experienced over the last two weeks allowed agricultural ammonia movement to get underway earlier than normal in the upper Midwest, and we're in the midst of a period of ideal conditions for ammonia applications. Available supply is expected to remain very thin, although we may have some volume available in the late fall, if the current excellent weather pattern extends the application season. Foreign and wheat crop prospects have both improved over the last few months, with very tight balances suggesting that planting for each could expand by about 4 million acres next year. A tight domestic grain market and the Russian export ban are expected to crop futures and cash prices have historically high levels. With favorable prices, U.S. farmers will enter the 2011 planting season in an excellent financial position, which should encourage complete fertilizer application. Longer term, the EPA's announcement in mid-October that E15 blends are approved for model year 2007 cars and newer will provide additional support to corn planting. The EPA is expected to announce this decision with respect to model years 2001 through 2006, sometime this month. For the 2011 fertilizer year in total, we increased expect increased planted acreage and higher nutrient application rates to lift nitrogen demand to over 13 million nutrient tons, the second highest on record. Urea prices strengthened recently. If reports that China's export tariff position will start at least two months earlier this year prove to be true, global urea supply will be reduced. UAN prices are also expected to be supported by low domestic inventory levels and international availability and should get further support from the increase in urea prices. In addition to these favorable fertilizer market factors, the outlook for our Nitrogen segment is supported by low forward natural gas prices. 12-month natural gas strip averages about $4.10, and our future financial results also will benefit from prices below $4 in both October and November of 2010. At today's product price, $4 of natural gas supports the a very high margins. Phosphate demand for fertilizer year 2011 is projected to increase 8% from 2010, which will return it to the 10-year average. Domestic shipments in the fourth quarter are projected to remain strong due to the robust acreage forecast and recovering application rates. Product availability across the U.S. supply chain remains tight, which may limit new export sales. Indian import commitments continue to underpin international pricing, while favorable crop prices encourage spot prices in other major markets. Global supply is expected to be constrained by a tight domestic Chinese market and potential supply controls there, as well as continuing delay in the modern project start-up. So the outlook for our business is clearly very positive and should sustain strong profitability and cash flow in upcoming periods, assuming weather and other uncontrollable factors are favorable. When we embarked upon the Terra initiative in January 2009, we envisioned a stronger and larger but nimble North American fertilizer producer with a skilled team dedicated to serving customers in an effective and profitable fashion. It was just for this type of market that we sought the combination. I believe we're just beginning to realize the earnings potential of CF Industries. With that, let's open the call to your questions. Regina, please explain the Q&A procedures.
Operator: [Operator Instructions] Your first question today comes from the line of Vincent Andrews with Morgan Stanley.
Vincent Andrews - Morgan Stanley: The first on your ammonia volume in the quarter and I guess tied with that thing, you said, Steve, it was a little lower than we thought. And I just want to try to get an understanding, you said you might have some supply late in the fall. I know there's an industrial contract that changed during the quarter, but was part of the plan maybe to have some ammonia for sale and spot prices going into the fourth quarter? Or can you help us reconcile that?
Stephen Wilson: Well, we certainly like having some volume available to take advantage of strong opportunities. But one of the major factors that worked this fall is that, with the low window for fieldwork, we have the opportunity to resupply our system to a certain extent. And so, if the window remains open, we'll be able to get more ammonia to our terminals and, therefore, have more available to customers. That's the general paradigm there.
Vincent Andrews - Morgan Stanley: And then my other question would just be on the tax rate, the tax rate came down materially in the quarter. And my understanding of the accounting rules is that's sort of a true-up for what you think the full year is going to be, and that typically takes place when earnings in the forward periods are going to be less than previously anticipated, which is really hard to imagine as the case here. But then, you've got $300 million of forward sales. So can you give us a little bit more color on that and how it impacts the fourth quarter or am I completely off base?
Stephen Wilson: Sure, I'll let Rich handle that. I think it's actually the reverse of that.
Richard Hoker: Yes, Vincent, it's actually the reverse of what you're describing. What we do is we project out the full year earnings, and what happened in this particular case is that we increased our estimate of full year earnings. So when those extra earnings get built in to our calculation of a tax rate, they come in at a 35% rate. Now the previous rate was higher than 35%, so the 35% reduces the rate down. And then that reduced rate gets reflected in the third quarter. And so the full impact of the lower rate on the year-to-date earnings goes through the third quarter earnings. So if you want to get a feel for what our full-year rate estimate is, just look at our third quarter year-to-date results, and you'll see that, excluding noncontrolling interest from pretax income, it's about a 44% rate.
Operator: Your next question comes from the line of Mark Connelly with CLSA.
Mark Connelly - Credit Agricole Securities (USA) Inc.: I wonder if you could talk about, in general terms, the way you're thinking about the industrial part of your portfolio in terms of the strategic significance in the mix. You talked earlier about taking some business away there, but when you do have a quarter like this, it is an important piece. And I'm just curious if you can give us a little bit of a sense of how you're think about that? And secondly, when we think about synergies, you've taken a lot of costs out already, when we get to the operating side, how much progress have you made there and how much more is there to come in 2011?
Stephen Wilson: If you don't mind, Mark, we'll take those in reverse order. I'll talk about the synergies. We are very pleased with our progress on synergies. The focal point of that work is in the whole interplay between production sales, and supply and logistics, looking for opportunities to take distribution and transportation costs out by manufacturing closer to the customer, eliminating movements, where we can or shortening movements where we can eliminate movements. And those are proven to be very successful. We are on track to be at about $100 million per year run rate by the end of the year. We feel more confident about that, of course, than we did three months ago because we're closer to the end of the year. And we're well on our way to achieving in excess of the high end of our synergy targets. Obviously, the rate at which we discover opportunities is slowing down, as we move into the process, but we're still finding new opportunities. And I'd like to have Bert respond to the question on industrial ammonia.
Bert Frost: The Industrial section or portion of our business is a critical part of how we differentiate and how we move our industrial or ammonia tons throughout the market. We have stationery business to power plants, and we have industrial customers that are chemical plants and such. And so it's a consistent business, it's ratable. We're able to maintain that flows, so it's a valuable part of our mix that we take to the market. We're working to improve that section, whether it's through pricing, the logistics to improve our returns, but we do need to utilize those customers for our system.
Operator: Your next question today comes from the line of Jeffrey Zekauskas of JPMorgan.
Jeffrey Zekauskas - JP Morgan Chase & Co: In your three pen of customer advances, is a lot of that volume for the fourth quarter or is it for the first or second quarter of next year? Can you give us a little bit of a feel of what's in there?
Stephen Wilson: It's all of the above. And as we move through the third quarter, certainly, we're booking business for the current quarter. But also, interest was sparked for next spring because of the robust planning intentions that we feel are underpinning the whole market right now.
Jeffrey Zekauskas - JP Morgan Chase & Co: And you said in your press release commentary that U.S. Corn Belt prices for ammonia had reached about $650, which was really up quite a bit from the $394 that you reported in the quarter. Is there, all things being equal, much change in that ammonia price for the fourth quarter? And so, you really see the large changes in the first quarter of next year or is it more graduated?
Stephen Wilson: Bert?
Bert Frost: I think that there's several components to this question, also. The $650 ammonia price that you stated was more folded into October. And so the third quarter numbers, as they were rising, we're reaching closer to $600 by the end of the quarter. The $394 that we reported, like we stated, includes a significant portion of the Industrial that's a contractual based on a Tampa or a gas calculation. So that brings down that average. I think you'll see in the fourth quarter, we don't talk too much about our book, but you'll see the agriculture percentage more weighted in the fourth quarter. And then we have the first quarter to report.
Jeffrey Zekauskas - JP Morgan Chase & Co: So just lastly, in your $394 price, was there a large difference between your average price and the price that you booked for the agricultural ammonia? Or what would be that magnitude, roughly?
Bert Frost: Is differential between Midwest agricultural numbers and the Tampa plus calculation that, generally, the industrial businesses is calculated on. I don't have that specific number for you.
Operator: Your next question comes from the line of Edlain Rodriguez with Gleacher & Company.
Edlain Rodriguez - Gleacher & Company, Inc.: Steve, can you remind us again on your nat gas hedging strategy, given your various view on gas, and also if the forward strips stays where it's at, let's say, for the next 12 months, would your average cost be that much different from that?
Stephen Wilson: Edlain, our view on gas purchasing is that it is a raw material for our fertilizer production, and we tend to want to match our gas purchase price, fixing it as purchase price to our fixed-price nitrogen sales to take the risk out of the equation. So we continue to be on a track where, when we book a forward sale, we will do a swap transaction to match the quantity of has acquired with the quantity of required for the nitrogen product. We do that on a disciplined basis. Obviously, the margins that are available to us today are quite attractive. On occasion, we will take a position beyond that when we see gas prices that are particularly attractive. Given where the strip is today and given, frankly, the relative stability of that, that we've seen recently, we're not really looking to the locked-in gas now in excess of our fixed-price nitrogen needs. But that could change if we have a significant downward-moving gas price.
Edlain Rodriguez - Gleacher & Company, Inc.: Can you give us an update on the Perú project? I mean, when would you have to make a decision and where are you from that? Can you update us there?
Stephen Wilson: We made a very brief comment on Perú in the press release. And I really have no glass to answer that. We have a couple of very important infrastructure issues, two pipeline issues, that need to be resolved before we would be in a position to do our final analysis and come to a conclusion on it. And just to remind you, the first issue is the expansion of the pipeline that goes from the Camisea region where the Andes to the coast, that's the main pipeline. That doesn't have enough capacity today to meet the needs of our plant. And then the second need is to build a pipeline from the intersection point with the coast down to our plant site. That's about 120 kilometers of pipe. That project has not been started. And so, until those issues are resolved, we certainly wouldn't commit our stockholders' capital and wouldn't be able to find lenders that would finance it. It's still an interesting and intriguing project. Our spend rate on it has been reduced considerably. We basically spending a minimum amount necessary, it's almost a de minimis amount at this point. And we hope that these issues get resolved, and we can bring the decision forward, but we're not there now. And I can't predict when others will get those other two things taken care of.
Edlain Rodriguez - Gleacher & Company, Inc.: And lastly on your cash flow generation and cash balance. And of course, your first priority is debt repayment, can you talk about whether share repurchase fit into that strategy going forward?
Stephen Wilson: Edlain, I guess I just would remind those of you who have been following us for a while and perhaps let those new investors know that exactly or almost exactly two years ago, we had our board approve a $500 million share repurchase program. After a lot of thought and careful consideration, we executed that in about 12 or 13 trading days. We bought the stock back somewhere in the mid-50s. And I believe it works. So that turn out to be, I think, a good use of our cash. As we go forward and assuming that the cash generation continues to be as robust as it has been and we believe it will be, we'll have the wonderful problem of figuring out how to deploy that cash and returning cash to shareholders. We'll be prominent on the list of things that we consider. And I think that our investors should feel comfortable that we will be prudent stewards of their capital given our own history in that regard.
Operator: The next question comes from the line of Michael Picken with Cleveland Research.
Michael Picken - CRC: I guess, first, if you could talk a little bit about your cost of production on the nitrogen side of the business. It seemed like the production cost and maybe your nitrogen margins were a little bit lower than I would have anticipated. And then specifically, think on the Urea side, as we do more DEF, and urea will grow, how might that impact your P&L?
Stephen Wilson: Mike, I know, certainly, our gas cost system has a major cost in the nitrogen side, and I think our gas cost has been roughly with the market. We have some increase in non-cash costs. We have higher depreciation due to the acquisition of Terra. And we had a bit more turnaround activity in the third quarter than normal, so that would have increased some of the fixed costs associated with the Nitrogen business. Those are the factors that come to mind right now.
Michael Picken - CRC: And then, you talked a little bit about how some of your international commitments, maybe, that you made in the second quarter or the third quarter pricing. Can you talk about kind of how much is remaining on some of those international commitments? And if so, is it just on phosphate or are there also some of those lags, 2Q contracts, are they still going to flow into 4Q?
Stephen Wilson: I believe I'm correct here that we still have some phosphate to ship offshore this quarter or have shipped it this quarter. Beyond that, we have that we don't have any or any meaningful amount of export potential [ph] at this point.
Michael Picken - CRC: Could you give us like a relative mix of what we should expect between domestic and international in your Phosphate business? Would it be the same ratio in the third quarter or should we see a higher percentage in domestic?
Stephen Wilson: I think it's likely less export business, given the strength of the domestic market.
Operator: Your next question comes from the line of Elaine Yip with Crédit Suisse.
Elaine Yip - Crédit Suisse AG: In the Phosphate business, have you seen any plant issues or issues securing raw materials? The reason I ask is because the costs seem to be a little bit higher than I expected. I think in the press release, it was mentioned that domestic production could have been impacted by a couple of factors?
Stephen Wilson: Well, I think our production in the third quarter was around 89% of capacity. That's a fairly typical kind of run rate for us, maybe a little lower than the range we like to have, but I think it's within the range of normalcy. We've had certainly increases in sulfur costs. Sulfur has been particularly tight, it's getting tighter. The costs is going up. The published price for the fourth quarter is about $160 a metric ton, that's a significant increase. That will be feathered into our mix through the quarter. We're not paying that as a blended price in the fourth quarter. We have not had production disruptions due to insufficient sulfur supply. Our team and our Supply Chain group has done a great job of maintaining relationships with suppliers. That isn't to say that they haven't sweated a little bit in the process, but that's okay. That's what they get paid to do.
Elaine Yip - Crédit Suisse AG: And then with regard to CapEx. I think it was mentioned in the release that you're raising your spending estimates in 2010 and likely spending even more in 2011. Can you comment on what's driving that?
Stephen Wilson: Sure. And Elaine, I'll be a little verbose here because this is part of the whole Terra acquisition story. In March of this year, when we stepped up to the plate with our increase in our offer price, it was based upon having done a lot of homework in terms of our financial profile and the amount of debt we'd be taking on. We did a base case analysis, and we did a stress test. And in the stress test, we looked out a prolonged downturn what that impact might be on our cash-generation ability, and so it backed into a capital expenditure number that we believed was appropriate, in light of the stress test case. So the $205 million or so that we have talked about was based upon the stress-test distress case. So now we're seven months into the combination, and there are two obvious factors that have changed the need for that kind of tight discipline. The first is that seven months of have passed, and we haven't been in the stress case. We have generated a lot of cash. And our outlook through the fourth quarter and into the spring is quite robust. And so, the need for that kind of very, very tight control over spending is not necessary. So what are we doing? Well, we're not opening the cash drawer and letting people come in and grab as much as they want at the plant level. We're going through the same disciplined analysis that we always do. So there's some projects that we suspended back in April that we felt was necessary to suspend in order to conserve capital, though some of those have been released for completion. And then some very good projects that we think will provide increased production and/or efficiency, and projects that support the DEF business it was going to be undertaking. So these aren't major projects but they are very attractive projects and very good for the business.
Operator: Your next question comes from the line of Mark Gulley with Soleil Securities.
Mark Gulley - Soleil Securities Group, Inc.: First of all, a lot of questions have to do with search for higher net backs. There was a question on industrial. Are any of the things you're doing with respect to getting higher net backs are emphasizing more domestic sales? Could this DEF opportunity be material enough in terms of volumes to raise net backs in the Urea business? In general, can you kind of talk more about what you are doing to raise your overall average selling price?
Stephen Wilson: First, I'll make a comment or two about DEF, and then I'll ask Bert to comment on pricing in general. I think it's important to put DEF in perspective. This is a business that has tremendous upside potential, but it is a very new business that we are nurturing. And to put it in perspective, in the first nine months of 2010, even though sales of DEF have moved up rapidly, it has only consumed the equivalent of 5,000 tons of granular urea. And if you look at our release for the third quarter, we shipped 713 tons of granular urea in the third quarter alone. And almost 2.2 million tons in the first nine months of this year. So the business is a fledgling business. We think it has great potential. And certainly, this business, in general, as it develops in North America and around the world, will help with urea demand. But with respect to our own product mix at this point and average pricing, it's insignificant. Bert, you want to comment on the more general question?
Bert Frost: I do. In regards to margin and margin management, that's what we're all about, always looking at the optionality that exists for our business. And that can be expressed in several different areas and in products from urea to a UAN production point, looking at export opportunities relative to domestic, reviewing our network, which we're doing through this acquisition, looking at how we can optimize our freight system and our terminal system. Then obviously, as already been mentioned, the agricultural ammonia as related to ag to industrial ammonia and for the spot sales. So each of those and other components will go into making or creating the options for a super margin on a margin uplift in a rising market.
Mark Gulley - Soleil Securities Group, Inc.: My next question had to do with the integration. Earlier in the prepared remarks, you talked a little bit about getting people together to force opportunities. Is there another layer of synergies that may not be talked about yet, but maybe an opportunity or maybe more of an IT solution, another leg in that whole synergy story?
Stephen Wilson: Well, we have an IT initiative under way. It's in the early stages. We knew going in that we had two systems that were incompatible. And so, we're working to resolve that. It will take some time. Our focus in the first months of the combination has been on making sure that we can operate as a combined entity with the two legacy systems. And I think we're doing that pretty well. It's not a long-term solution, but it is one that's getting the job done today. If I look down the road on ways, when we have a comprehensive IT tool that's available across the company and having better data or timely data or consistent data and turning that into useful information, should, of course, turn into opportunities to optimize our system, in addition to what we've been able to accomplish so far and we envision accomplishing in the next six months or so.
Operator: Your next question comes from the line of Robert Koort with Goldman Sachs.
Lindsay Mann - Goldman Sachs Group Inc.: It's actually Lindsay Drucker Mann, standing in for Bob. I was just hoping to go back to the ammonia prices you talked about in the press release, and also on the call that you've been able to realize in the current quarter so that $600 $650 range. Is that a level that you've actually been able to sustain into the tick of ammonia season?
Bert Frost: You have to understand that when you say the tick of the ammonia season, we're currently applying or moving product out of our terminals today at a very high rate. But those positions were put in place months ago. And so yes, we've been selling ammonia. That will be reflected as we go forward in today's activity. You have to put these products into place, July, August and September to be pooled in October and November. And so, your average price of $600 to $650, which is being realized in October and today will not be realized in the fourth quarter.
Stephen Wilson: The spot prices that are being achieved today are not representative of the average that we will actually experience for the quarter. That's an indication of how far the market has moved since the end of last spring.
Lindsay Mann - Goldman Sachs Group Inc.: And when you talk about having -- because of the long window, actually being able to resupply your system and have increased availability of ammonia, is that something that you expect to impact spot prices?
Bert Frost: With the long window, obviously, we have more opportunity, as Steve mentioned earlier. We are attempting to resupply our terminals to take advantage of that to move our product into position. So as our product is available, we will be selling at the spot prices.
Stephen Wilson: Lindsay, I guess I would turn your comments around just a bit. It is something that we believe we'll be -- assuming that the weather cooperates and the soil conditions cooperate it, it's an opportunity to take advantage of current pricing.
Lindsay Mann - Goldman Sachs Group Inc.: And I'm just curious, going forward, after having exited the industrial contract that you called out, how does that affect your split in terms of Industrial versus the Ag, as we look into next year?
Stephen Wilson: We manage our book of business on a dynamic basis, and there will be times when Industrial business is very attractive to us. There are times when it's not so attractive. Our objective with all of our products since we're talking about ammonia, particularly with ammonia, is we want to put it to the highest and best use. So we don't have an aversion to Industrial business. We're not totally wed to Ag business. We want the highest margin business that we can make on a sustained basis.
Operator: Your next question comes from the line of Don Carson with Susquehanna.
Don Carson - Merrill Lynch: I'm still trying to get a handle on kind of this lag between your spot and what your realizations are and, obviously, from the outside, it's not hard to know what your forward commitments are. Is 90 days kind of a safe guide to when we see spot price versus when you might actually realize it in your sales price?
Stephen Wilson: Bert?
Bert Frost: I think on that issue, you're going to fluctuate throughout various quarters, because there are times when it could be 90 days. It could be shorter and longer, so I would decline to answer specifically.
Don Carson - Merrill Lynch: And then a question on your forward sales book. What is that $321 million as of the end of September, what is that book today? Has that been growing or are you adding significantly? We have seen some pretty high forward quotes in both ammonia and urea for next spring?
Richard Hoker: Don, if you recall at the end of June, I believe our customer advanced balance was $11 million. So it has grown substantially. It is, I think, roughly in line with some other points that we've had in the past. As the outlook for the fall turned into reality and the outlook for the spring seems to be coming together, we obviously have had a lot of interest on the part of our customers to lock in supply, and we've had the normal kind of back and forth between supplier and customer in terms of arriving at the appropriate timing and pricing for shipments.
Don Carson - Merrill Lynch: So that $321 million has grown significantly then in the last month and a half?
Richard Hoker: I'm only commenting on how the $11 million has grown into $321 million, and I will just say, in general, that we have good demand for our product for the spring shipment.
Don Carson - Merrill Lynch: And one other question on net backs, were you affected at all by some of the pipeline outages in the second that lasted into the third quarter? And that, to get to know, a broader issue with Terra's greater proportion in Midwest production, what benefit have you seen and have yet to see in terms of improved realizations between, say, a benchmark Corn Belt pricing and your net realization?
Stephen Wilson: In terms of the physical side, the pipeline outage affected us, but we worked around it in a way. So it really did an impact in the amount of product that we moved and who we moved it to. It was seamless to our customers. We had to do a little more work finding trucks and so forth and so on. With respect to the impact on pricing and so forth, I'll defer that to Bert.
Bert Frost: Did it say? Well, Steve, the impact on the pipeline, specifically, we did take some precautionary measures and moved some product into position. And I think this is the benefit that we've been discussing as our agricultural distribution system and being able to place tonnage at the appropriate time and the appropriate place.
Stephen Wilson: Obviously, ammonia is a product that's focused on a lot. It's focused on a lot in our own shop, because we think we have a great configuration to provide value to our stockholders by selling ammonia. Having the new configuration with end-market production, along with the Madden had [ph] and Donaldsonville production coming in from either outpost, if you will, in either end of the Corn Belt. It gives us a lot of leverage to pull in a lot of ways to supply terminals, in turn, a lot of points from which to serve customers. I think it's been well-received to date. And certainly, it has energized our own people in terms of looking for opportunities to increase our margins in ammonia.
Operator: Your next question comes from the line of Horst Hueniken with Stifel, Nicolaus.
Horst Hueniken - Stifel, Nicolaus & Co., Inc.: I'm wondering whether you could help me reconcile something. You've referenced a couple of times that you're very focused on maximizing your margins. But when I look at your production profile of the latest quarter, according to my calculations, UAN, which you produced the most of, it was producing the least gross profit per short ton. Certainly, one would have thought you would have focused more on ammonia and urea than UAN. Can you just help me reconcile that you produced what you produced, yet you're all about margins?
Stephen Wilson: Well, first of all, I don't think we probably posted margin by product. So I'm not sure whether I would agree with your conclusion, although I suspect if you've done your math, it's probably correct. We have a substantial amount of nitrogen production. We can do 13 million tons, roughly annually. We have the ability to shift somewhat between urea and UAN. We actually did that in the quarter, when urea gives us the best margins. We'll do as much urea as we can, and we're certainly willing to shift. I would remind you that if you're looking on a product-ton basis, you may want to actually convert that to equivalent nitrogen-ton basis. Ammonia is 82% nitrogen, urea is 46%, and UAN is 28% to 32% nitrogen. So what we're trying to do is maximize the margin per unit of nitrogen produced. That's our goal, and we have models that look at that. And I think we're nimble enough to be able to shift between urea and UAN. And also, frankly, when ammonia in particular is very attractive, we have the ability to bring them in from offshore and inject it into our system and enhance our margin by doing that.
Horst Hueniken - Stifel, Nicolaus & Co., Inc.: So I guess what I'm hearing is that if your model is telling you, you need to produce more ammonia or less ammonia, you have the flexibility to do exactly that?
Stephen Wilson: Well, we're actually producing all the ammonia we can produce. The question is what do we do with that ammonia, and we would certainly only upgrade it, if we're going to get higher margins by doing that. And the math on upgrading in recent years has frankly been a no brainer. We get value on our upgrading, and we get to value from the free ammonia that we sell as direct applications.
Operator: Your next question comes from the line of Charles Neivert with Dahlman Rose.
Charles Neivert - Dahlman Rose & Company, LLC: Obviously, you talked about the shift of Industrial sales toward Agriculture. That's something you got to do, sort of on a long-term decision basis because those industrial contracts, I guess, are typically annual or longer in terms of their volumes. Can you talk about how the company, combined with Terra, is going to look in terms of Industrial sales as a percentage of total versus what it used to be prior to the combination and the shift you're making?
Stephen Wilson: Charlie, we don't have an objective. It's a little bit like asking about the mix between domestic and export sales. All we want is the best long-term margin we can generate for the company. We don't care whether it's Ag or Industrial. We want is the highest and best value for our product. So as we go down the road of talking with Industrial customers and talking with Ag customers, we'll find a place that works for us and maximizes long-term margin for our production.
Charles Neivert - Dahlman Rose & Company, LLC: And then as a follow-up, does that mean that perhaps industrial contracts might have to shift in the way they're priced going forward? Because I guess the reason you're shifting out of them is because pricing doesn't really go well with the agricultural outlook. So if they get more in line in terms of how they're priced with that, obviously, that would have some influence then?
Stephen Wilson: That is certainly something that could happen and may have already happened and I guess I would add that, and I think we talked about this last quarter, but I don't mind reiterating it, that with the combination, there are now more options for product coming out of legacy Terra plants than there was before for ammonia. Terra did not have the extensive ammonia distribution system that legacy CF had and limited storage at the plant sites. And so now, we have the flexibility to move that ammonia in more directions and for a greater variety of uses.
Operator: Your next question today comes from the line of David Silver with Bank of America.
David Silver - BofA Merrill Lynch: First, I'd like to ask you about your inventory levels. So when I compare 3Q 2010 inventory levels to 3Q '09, I'm struck by the fact that they seem decidedly on the low side? I mean 3Q '09 was before the Terra acquisition. Your average natural gas cost was substantially higher this year, and I'm just scratching my head and I'm recalling your comments about the fourth quarter outlook. I think your demand is going to be significantly stronger than a year ago, yet all things equal, you seem to be running much leaner on inventories. And I guess I'm just wondering, will you be able to meet your fourth quarter demand out of production or does this mean you're going to have to go out in the market and maybe bring in product from offshore to meet commitments?
Stephen Wilson: Well, I believe that our production capability, combined with our inventory, is going to absolutely allow us to meet our commitments to customers. We only make our commitments after having done the work necessary to ensure that we have the supply. I haven't done the analysis that you just went through in terms of our inventory position, but I feel quite confident that the work has been done among our production supply chain, and sales team is supportive of all of our customer needs through the fall and into spring, absent some kind of unforeseen event. We do have the ability to bring in product, in addition to that, but that's not part of our base plan.
David Silver - BofA Merrill Lynch: I'd like to maybe switch over to a financial question. And in particular, you mentioned that you used $350 million of available cash to pay down debt this quarter. And you also talked about greater, I guess, discretionary capital spending both this year and next. And I guess I'm just wondering, whether you believe that now is an opportune time to consider kind of a major refinance? In other words, you spent $350 million this quarter to pay down relatively low cost debt, whereas, we seem to be in an unusually favorable environment for corporations to raise capital. I mean, wouldn't there be a better bang for the buck by just trying to do a major refinance as opposed to paying down the term loan as cash flow becomes available?
Stephen Wilson: Well, we'll certainly looking at capital structure as the months evolve here. We're certainly pleased to be generating cash at the rate we are. We're looking to get our debt down to a level where the debt-to-EBITDA ratio is 1x to 1.5x. We just did our bond financing back in April. I think we did pretty well. If we were doing it today, will we do better? Yes, but I'm not sure if it would offset the expenses involved in doing it. Frankly, we have not looked at that when we have our next CFO in place. I'm sure that he'll spend a lot of time looking at our capital structure and, along with the rest of our Finance team, advise me and the Board on what we got to do.
David Silver - BofA Merrill Lynch: I was thinking of it mainly in terms of gaining flexibility maybe sooner. But I wanted to ask you another question about maybe your international market intelligence. So one of the issues you raised when you struck the deal with KEYTRADE was that it did give you greater insight into goings-on in international markets. And right now, I was just hoping if you could share your latest thoughts or their latest thoughts on a couple of issues, including the likelihood and the magnitude of China's export tariff decision. And secondly, how delayed it does to you or KEYTRADE believes that the Madden [ph] project is?
Stephen Wilson: Well, Bert talks to the KEYTRADE people, at least, once a day, sometimes, seven days a week. So I'll let Bert handle that.
Bert Frost: In terms of the KEYTRADE relationship, a joint venture that's going very well, and we do rely on them for market intelligence and utilizing them to move our products into the market. They're inside of the markets and they do have a Beijing office. But I think I'd rather go back to the public statements and the industry publications. There's a lot of variations and what will and can happen in China, pulling it to January 12 to December 1 and as early as November 15. And some are expecting that announcement to come today or tomorrow. We're obviously following that, and we do follow that relative to our forward prices of urea, which will have a substantial impact in phosphates. And so, I do not want to speculate today on something that is pure speculation. So we'll say that we're watching that. And relative to the Madden [ph] project, again, there's been reports from other companies that reported their quarterly earnings, and we read the same publications also, they're projecting now that, that will be delayed into fourth quarter of 2011, possibly, even into early 2012. And that also we will watch very closely, as it relates to our phosphate exports.
Operator: Ladies and gentlemen, this concludes the question-and-answer portion of today's call. I'd like to turn the call back over to Terry Huch for closing remarks.
Terrell Huch: Thank you. I'd just like to thank everyone who participated in the call today and invite you to call me if you have further questions.
Operator: Ladies and gentlemen, thank you so much for your participation in today's conference. This concludes the presentation, and you may now disconnect. Have a wonderful day.